Operator: Good day, and welcome to the Pyxis Tankers' Conference Call to Discuss the Financial Results for the Third Quarter 2019. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and the earnings presentation is available on the Pyxis Tankers' Web site, which is www.pyxistankers.com. Hosting the call today is Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Henry Williams, Chief Financial Officer. I’d now like to introduce Pyxis Tankers’ Chief Executive Officer, Eddie Valentis. Please go ahead.
Eddie Valentis: Thank you, operator. Welcome, everyone, and thank you for joining our call for the three months results ended September 30, 2019. Before starting, please let me draw your attention to some important legal notifications on Slide 2, that we recommend you read, including our presentation today, which will include forward-looking statements. Thank you. Turning to Slide 3. Our results for the third quarter 2019 reflected a significant improvement from an operating perspective over the comparable period of 2018 and over our Q2 results. In Q3 '19, we generated time charter equivalent revenues of 6.2 million, 140% higher than the same period in 2018. We had a net loss of $800,000 or $0.04 per share for the third quarter of 2019 versus a net loss of 4.1 million or $0.20 per share in the same period in the prior year. Our adjusted EBITDA for Q3 2019 increased by 3.6 million to 2.1 million. During the third quarter the spot market was lackluster. Our more conservative approach to vessel employment by staggered short term time charters of our medium range product tankers proved beneficial. In Q3 2019, the average daily time charter equivalent for our MR was over 14,400 per day, 6.5% higher than Q2 with daily utilization of almost 100%. Starting the fourth quarter, we have seen the chartering market improve nicely beyond the typical historical seasonal upswing. The positive impact globally, of new IMO Regulations regarding the use of low sulphur fuel has started to boost the solid fundamentals of supply and demand growth within our sector. However, we continue to be concerned about the uncertainty surrounding trade barriers and the recent geopolitical events, which could hamper worldwide economic growth and the demand for oil and petroleum products. Our fleet and existing chartering activity is shown on Slide 4. We look to capture the rising market over the near term in order to enhance our operating cash flow. As you can see, we have one MR scheduled for a delivery shortly and three others by next spring. Our two young MRs, Pyxis Epsilon and Pyxis Theta, each have charters options which can increase the daily charter rate by over $2,100 per day for another year, starting within six months from now. Given that our costs structure is substantially fixed, these increases would drop to the bottom line.  As of November 11, we have 57% of our remaining available days in 2019 covered, exclusive over any extensions. The MRs have an average daily rate of approximately $15,300 per day which is $700 higher than the average for one-year time charters over the last seven years. As you can see, our small tanker continue to operate in the spot market. At this point, we have 18% of our available base booked for 2020, exclusive of extensions, thus providing further upside opportunities. We expect to continue our mix chartering strategy for the near term. Please turn to Slide 6 for a brief review of the product tanker market which is positioned for further improvement. Clearly, global economic activity has slowed and was reflected in a soft spot market for most of the first three quarters 2019. Inventories of major refined petroleum products worldwide are currently at or below five-year averages. After an extended maintenance period, refinery runs have recently risen, thus increasing available cargos. After a busy year-to-date, the addition of new capacity slowing. Turning to Slide 7, as previously mentioned, better sustainable charter market is underway. Our positive outlook is based on demand growth of 3% per annum with modest online expansion from the changing refinery landscape. Moreover, the MR 2 sector should be a primary beneficiary of the new IMO 2020 fuel regulations, which should provide incremental cargo demand for our class of vessels.  The distribution of new compliant low sulphur fuels, through massive global network of ports and marine storage facilities should further increase ton-mine demand, expand trading routes for MRs and possibility create arbitrage opportunities. The MR 2 order book continues to decline. While a significant number of MRs have been delivered in 2019, new ordering activity continues to be relatively low. Slippage in new tanker delivery should continue and demolitions should increase given a 6% of global fleet of MRs are 20 years or older and in light of economic impact on environmental regulations on older less efficient vessels. Availability of cost-effective capital continues to be tight industry wide, further constraining the placement of newbuild orders. Consequently, we believe net fleet growth for MRs will be less than 3% in 2020.  Turning to Slide 8, MR-2 asset prices have increased over the last few years, especially for modern acquisition tonnage and currently approximate 10-year averages. There continues to be attractive opportunities to acquire second hand tankers at reasonable prices and capture the potential upward movement of charter rates. So, our sector has positive near-term fundamentals, combined with a major catalyst of IMO-2020, which should translate into improving cash flows, asset values, and hopefully better share prices. At this point. I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks Eddie. Let's start with the unaudited results for the three months ended September 30, 2019 on Slide 10. Our time charter equivalent revenues for Q3 '19, which we define as revenues net minus voyage related costs and commissions were $6.2 million, an increase of $3.6 million or 140% from the same period in 2018 primarily as a result of higher MR rates and higher utilization. Our most recent periods reflect higher yielding time charter activity. For the three months ended September 30, 2019 our daily TCE rate fleet wide was $12,360 more than double than 2018.  Better results for 2019 are showed in Slide 11. We incurred a net loss of $800,000 for the three months ended Q3, 2019 or $0.04 basic and diluted loss per share based upon 21.1 million weighted average shares outstanding, compared to a net loss of $4.1 million or $0.20 basic and diluted loss per share, based on a slightly lower share count. The improvement in TCE revenues of $3.6 million was partially offset by a $300,000 increase in interest expense, which was due to higher weighted average cost of debt.  Nevertheless, better TCE revenues substantially flow to the bottom line and resulted in a $3.6 million improvement in adjusted EBITDA over the same period in 2018.  Please turn to Slide 12 which reviews our recent fleet data by vessel type. Given the size of our fleet, changes in these metrics related to a single vessel one reporting period can have disproportionate effects on the total fleet operating results. Focusing on the quarter ended September 30, 2019. We would like to point out three key takeaways. Our TCE for our 4 MRs averaged $14,400 per day with our coefficient MRs generating almost $15,200 per day per ship. Despite nearly 100% utilization of our MRs, fleetwide utilization improved to 90.6% with the small tankers experiencing fewer but still significant off hire days in the spot market. And lastly, vessel operating expenses fleet wide improved 2% further representing cost discipline and consistency. Turning to Slide 13, as you know we believe it’s important to review total daily operational costs to run and manage a public tanker company, including overhead. These costs vary by fleet composition and vessel delivery companies operating structure and management. We defined total daily operational costs as vessel operating costs, eco and commercial management fees plus G&A expenses. For comparative purposes, we believe that the total daily operational cost of our eco efficient MR 2 tankers of $7500 per day per ship continue to be stable and very competitive within the industry to spider small size.  Please turn to Slide 14 to review our capitalization as of September 30 2019. At quarter close, our consolidated leverage ratio was on par with a number of publicly traded tanker companies, as net funded debt stood at $59.7 million or 60% total capitalization. No balloon payments, or principal are due for almost three years.  With that, I would like to turn the call back over to Eddie, to conclude our presentation.
Eddie Valentis: Thank you, Henry. Q4 2019 has started off in a very positive fashion. We believe this is the beginning of a sustained improvement in the product tanker market, leading to further increases in charter rates, cash flows and asset values. Our current mix of staggered time charters and spot exposure should position us to take advantage of expected increase in rates over the near term. Utilizing our cost-effective operating platform and deep management experience should enhance our shareholder value. In conclusion, we feel confident in the long-term sector fundamentals, excited about our potential opportunities created by MR 2020 and our position to capitalize on future events.  I thank you for joining our call today. And look forward to reporting on further progress of Pyxis Tankers. 
Operator: Thank you. Thank you for participating. You may all disconnect. 
End of Q&A: